Operator: Good morning, and welcome to the Loma Negra Third Quarter 2024 Conference Call and webcast. All participants will be in a listen-only mode. [Operator Instructions]. After today’s presentation, there will be an opportunity to ask questions. Also Mr. Sergio Faifman will be responding in Spanish immediately following an English translation. [Operator Instructions] Please note that this event is being recorded. I would now like to turn the conference over to Mr. Diego Jalon, Head of IR. Please, Diego, go ahead.
Diego Jalón: Thank you. Good morning, and welcome to Loma Negra's earnings conference call. By now, everyone should have access to our earnings press release and the presentation for today's call, both of which were distributed yesterday after market close. Joining me on the call this morning will be Sergio Faifman, our CEO and Vice President of the Board of Directors; and our CFO, Marcos Gradin. Both of them will be available for the Q&A session. Before we proceed, I would like to make the following safe harbor statements. Today's call will contain forward-looking statements, and I refer you to the Forward-Looking Statements section of our earnings release and recent filings with the SEC. We assume no obligation to update or revise any forward-looking statements to reflect new or changed events or circumstances. This conference call will also include discussion on non-GAAP financial measures. The full reconciliation of the corresponding financial measures is included in the earnings press release. Now I would like to turn the call over to Sergio.
Sergio Faifman: Thank you, Diego. Hello, everyone, and thank you for joining us this morning. I would like to start my presentation by discussing the highlights of the quarter. Then Marco will take you through our market review and financial results. Following that, I will share some final remarks before opening the call to our questions. Starting with Slide 2. We are pleased to present Loma Negra third quarter results. This quarter, industry volume showed a strong sequential improvement, increasing by 25%, while still below last year level. The steady recovery in activity indicates that we moved past the most challenging period. Diving into the number, our top line reached ARS 180.7 billion, marking a 21.2% decrease in the quarter, primarily due to the lower cement dispatches. This quarter, Loma achieved a consolidated adjusted EBITDA of $55 million or ARS 43 billion, down 18.5% compared to the same period last year. Our EBITDA margin stood at 24%, reflecting an improvement of 78 basis points year-over-year, which is remarkable given the challenging scenario and its impact on demand. On a per ton basis, EBITDA was $35.4, also maintaining a very solid performance. It's important to note that third quarter margin are lower due to seasonal factors such as higher energy costs. However, our flexibility and production strategy allowed us to mitigate the full impact of winter costs. On the financial side, our balance sheet continued to strengthen with net debt at $177 million. As mentioned in our last call, this quarter required less capital, enabling us to delever and achieve a net debt ratio of 1.03x. I will now hand off the call to Marcos Gradin, who will walk you through our market review and financial result. Please, Marcos, go ahead.
Marcos Gradin: Thank you, Sergio. Good morning, everyone. Please turn to Slide 4. When looking at the evolution of monthly cement sales for the industry, it is clear that cement dispatches have reached a significantly better level than in the previous two quarters. Volumes have increased by 25% sequentially. The same sequential comparison show an improvement of 6% in 2023 and recent figures for October are in line with September figures despite the impact of a national strike that affected the dispatches. Bulk cement dispatches are recovering more quickly, gaining ground in the dispatch mode breakdown and reaching 62%. In contrast, bulk cement has been more affected by the economic environment, the standstill in public works and lower activity levels in larger private projects. The central bank's market expectation report also points to an improved economic outlook, suggesting that the recovery will begin in the second half of this year, marking the end of the recession's most challenging phase. The construction activity indicator though still below 2023 levels, reflects this trend as well, gradually narrowing the year-on-year comparison gap. Positive indicators such as the steady recovery of real wages, the downward trend in inflation, fiscal surplus and lower interest rates are key factors that could enable a broader role for credit in our economy and encourage and accelerate foreign direct investment inflows. While macroeconomic conditions remain challenging, stable economic variables are essential for driving sustainable growth. Turning to Slide 5 for a review of our top line performance by segment. The third quarter top line show a decrease of 21.2% mainly due to a lower top line performance of the cement business, also followed by the rest of the segments. The cement, masonry cement and lime segment declined by 21%, with volumes contracting 17.1% year-on-year, coupled with softer price performance. Although the contraction impacted both dispatches mode, bulk cement is performing significantly better, showing only a moderate decline, while bulk dispatches are lagging. Demand for bulk cement is more closely tied to larger projects, which typically require additional time planning and stable market conditions to consolidate. Concrete revenues decreased by 29.7% in the quarter, primarily due to a 22% drop in dispatches. The type of projects that are central to our concrete segment are still struggling to gain traction, mirroring the trend seen in bulk cement sales. Similarly, the aggregates segment experienced a 42.7% decline, with sales volume down by 29%, reflecting the pattern of the concrete segment. The reduced level of activity has resulted in a more challenging competitive landscape. Finally, railroad revenue saw a modest decline of 4.7% in the quarter. Transported volumes dropped by 7%, mainly due to the reduced activity in the construction sector. However, this was partially offset by increased volumes of grains and chemicals. The positive trend also helped mitigate the impact of lower transported volumes. Moving on to Slide 7. Consolidated gross profit for the quarter declined 23.5%, with a margin contraction of 69 basis points to 22.6%. Margins remained stable despite the volume contraction of our core business. In the cement segment, our cost management efforts helped mitigate the impact of a lower top line. Although hydro, thermal and electrical energy inputs tightened margins on a sequential basis, this effect was partially offset year-over-year by our production strategy of halting several kilns and utilizing clinker stock produced at lower energy cost during the warmer seasons. In the year-over-year comparison, thermal energy costs show considerable improvement. Additionally, reduced electrical energy needs from an extended halt in the limestone grinding phase increased the share of renewable energy in our energy metrics to 66%, up from 39% in third quarter '23, further contributing to lower energy costs. On the other hand, the railroad and concrete segment experienced margin expansion, while aggregates more impacted by current economic conditions, posted a significant contraction. For railroad, the moderate decrease in volumes combined with positive price performance helped to boost its margins. Finally, SG&A expenses fell by 12.9%, primarily because of reduced salaries, a lower cost from turnover tax and freight due to decreased volumes. As a percentage of sales, it stood at 9.2%, an increase of 87 basis points from 8.3% because of the decline in revenues. Please turn to Slide 8. Our consolidated adjusted EBITDA for the quarter stood at USD 55 million while in pesos adjusted EBITDA reached ARS 43 billion, down 18.5%. Despite the volume decline and the challenging scenario, the consolidated EBITDA margins remained resilient and stood at 24%, expanding by 78 basis points from last year. On a sequential basis, it's important to note that the third quarter showed a lower margin due to higher seasonal costs. The cement segment's adjusted EBITDA margin stood at 25.5%, a slight drop of 20 basis points. Tight cost management and improved energy inputs helped mitigate the impact of a lower top line. Concrete adjusted EBITDA increased ARS 484 million compared to the same quarter of last year, with a margin expansion of 355 basis points, reaching 4%. Cost control measures and gain from the sale of obsolete assets offset the lower top line. The adjusted EBITDA margin of aggregates contracted to negative 17% from 4.8% in third quarter '23. The low level of activity and more complex competitive environment affected the segment operational result. Finally, the railway segment adjusted EBITDA margin expanded by 840 basis points in the quarter, reaching 12.6%. Transported volumes experienced a moderate decline, mainly due to increased grain transport, while prices showed solid growth. Strict cost control further supported these positive results. Moving on to the bottom line on Slide 10. This quarter we posted a net profit attributable to owners of the Company of ARS 20.9 billion compared to a net profit of ARS 22.9 billion in the third quarter of 2023. The lower operational results mainly due to the drop in volumes was partially compensated with a higher total financial gain. Financially, we posted a total net financial gain of ARS 12.6 billion for the quarter compared to a financial cost of ARS 4.9 billion in the same period last year. Key variations include the reduced impact of exchange rate difference due to a slower deferred devaluation pace and a lower net financial expense, primarily driven by lower interest rates. This was partially offset by a smaller gain on the net monetary position as we held a lower passive monetary position during the quarter and by a softer effect from inflation adjustments. Moving on to the balance sheet. As you can see on Slide 11, we ended the quarter with a net debt of ARS 172 billion, bringing our net debt-to-EBITDA ratio to 1.03x, down from 1.4x at the end of 2023. As anticipated in our last call, we reduced our indebtedness by $40 billion during the quarter, further strengthening our balance sheet. Cash generation from operational activities reached ARS 64 billion, up from ARS 45 billion in the same period of 2023, primarily driven by positive working capital effects. During the quarter, clinker production was minimized to lower energy inputs, resulting in reduced inventory levels. This was further supported by decreased account receivables and reduced income tax payments. We allocated ARS 17.4 billion to capital expenditure this quarter. Approximately 40% of this amount was invested in the 25-kilogram bags project, with the remainder primarily directed towards maintenance CapEx. During the quarter, the Company used ARS 34.8 billion in financing activities, primarily for the repayment of borrowings and interest payments. In dollar terms, our net debt reached $177 million at the end of this quarter with a duration of one year. Breaking it by currency, the dollar-denominated debt represents 77% of the total debt, while the remaining portion is in pesos. This quarter, we addressed the maturity of the Class 1 bond issued in pesos, thereby reducing the weight of our local currency debt. Regarding the remaining bonds, the Class 2 bonds are set to mature in the fourth quarter of 2025, while the Class 3 and Class 4 bonds will mature in 2026. We have a very clear horizon ahead in terms of our structured debt. Now for our final remarks, I would like to hand the call back to Sergio. Thank you.
Sergio Faifman: Thank you, Marcos. Now to finalize the presentation, I please ask you to turn to Slide 13. The third quarter showed a significant sequential improvement, clearly moving past the worst part of the recession. However, the recovery is still in its early stage, for the future progress needing to fully close the year-over-year gap. Our operational flexibility and production strategy enabled us to maintain healthy margins, mitigating the full impact of winter cold despite the lower dispatch level and difficult economic conditions. We are closely and optimistically monitoring the evolution of the economic challenges as inflation and interest rate decline. The real economy and activity level will have a more solid foundation for growth. The expansion of the credit and mortgage loan could be a significant drive for the construction sector in the near future. Similarly, the reduction in country risk, now below 1,000 points for the first time since 2019, signaling a positive step toward attracting foreign investment. Amid all the challenges, the country holds a growth potential ready to be unlocked, and LOMA is well positioned to support and drive the show now forward. To conclude, I would like to thank all our employees and stakeholders for their commitment and continued support. This is end of our prepared remarks. We are now ready to take questions. Operator, please open the call for questions.
Operator: [Operator Instructions] Also please note that Mr. Sergio Faifman will be responding in Spanish immediately following an English translation. And our first question today will come from Marina Mertens with Latin Securities.
Marina Mertens: I have two questions. The first one on prices. So with inflation slowing, prices are becoming less frequent. How do you see these pricing dynamics moving forward? And what effect could it have in volumes and revenues? And the second one. The bulk segment, it continues to be more depressed than the bag segment. So what catalyst do you see as necessary for larger construction projects to begin and for demand in this segment to pick up?
Sergio Faifman: Regarding price dynamic, we are looking closely the evolution of how can we continue to follow on our dynamic on adjusting prices. Besides the lower inflation in the last three months, we have continued to adjust our prices on a monthly basis. Maybe with inflation of 2% or 1% per month, we can start thinking about adjusting prices on a three-month or four-month basis. With this level of monthly inflation, if we made them too spaced in time, when we have to increase our prices, it would be in a two-digit figure and that would be difficult for the market to take that adjustment. Regarding volumes, as you mentioned, bag cement has been recovering more fast and bulk cement is still lagging. Regarding larger projects, which is the target of bulk cement, with the RIGI and other bigger projects that are starting to gain pace, they are probably going to affect or impact the cement sales -- I mean, bulk cement sales. Sorry. Many private projects were monitoring the evolution of the effects. And with this -- with the steady evolution of the effects in the last couple of months, we are starting to pick up the pace. Another important driver for bulk cement is public works, and in that case, we are seeing how the new scheme involving the private sector in public works how is this going to evolve. So we are going to -- we are expecting this to start to impact volumes next year. But these two variables should have an impact on bulk cement dispatches in the upcoming months.
Operator: [Operator Instructions] And our next question today will come from Marcelo Furlan with Itau BBA.
Marcelo Furlan: I have one question related to dividends. I mean you guys posted deleveraging in this Q at 1x net debt EBITDA -- sorry, at 1x net debt-to-EBITDA. And you guys don't have any major projects underway. So my question is related to, if we could see some improvement in dividends maybe for the fourth Q or for 2025 as you guys still have a healthy capital profile. So this is my question.
Sergio Faifman: Historically, third quarters are the ones that have a lower EBITDA margin. That's basically due to increased costs during the winter season. Additionally, this year, we had some extra hike in some costs that impacted during the second and third quarter. For example, the impact of the hike in prices of transport, the energy that we had between 400% and 700% impacted between May, and those -- and that effect impacted the second and third quarter. In general, as it typically happens in this process of high inflation, Loma gains margin because we kind of -- we have the capability of moving our prices quicker than our costs. So if you look at the margins of the 3Q, they are impacted due to higher winter costs. And probably you're going to see an improvement in the next -- in the coming quarter, basically due to the -- that now we are not going to have the impact on the winter cost primarily in energy, not because of the other costs that have been moving following inflation.
Marcelo Furlan: Okay. And a follow-up question here. What are you thinking about dividends going forward?
Sergio Faifman: So far, we have -- we don't have anything planned for this year. For the coming months or next year, we are analyzing the capital allocation alternatives, thinking about the better alternative for our shareholders.
Operator: And our next question today will come from Esteban Arietta with Balanz.
Esteban Arrieta: Does InterCement situation impose any debt repayment covenants on Lomo Negra if control changes? And additionally connected to that, would a controlship to another company would trigger a tender offer for Lomo Negra shares?
Sergio Faifman: There is no covenant regarding change of control that may have an impact on the Company. And regarding a tender, then the regulations of the NYC and CMB will apply considering that -- if an operation occurs.
Operator: And our next question today will come from Daniel Rojas with Bank of America.
Daniel Rojas: Most of my questions have been asked, but I was curious and I was hoping to get a little bit more detail on the 25-kilo bag project you mentioned on the presentation. Does this make part of our strategy of selling smaller bags to get better prices? What are you hoping to get in that sense from selling that type of weight? Any color you can give us? And additionally to that, you've been very specific about the sequential recovery of cement volumes. I know you've given some details on the call, but could you give us any additional color?
Sergio Faifman: The profitability of cement and bulk are very close or more or less the same. Obviously, bag had more price and also more costs. So the margins are better in bulk. And profitability is more or less the same. Regarding volumes, we can see one first stage until June and then a hike in volumes starting in July. That recovery that we are seeing starting in July is more or less 30% up the figures of the first six months. So only keeping this tendency, we are speaking about a recovery of -- or an increase in volumes for next year on a two figure digit.
Daniel Rojas: Great. And if I may follow up. A lot of news has been published around the potential recovery of the mortgage market in Argentina. Can you give us some color on what you're seeing on the ground? How strong this recovery might be? Are banks jumping into the mortgage market? And are you starting to see permit activity, construction activity related to that? Or is it too early to tell?
Sergio Faifman: Yes. Clearly, that's something that we have always said that would be very important for growth. Last few months, there has been a recovery on real estate sales, and there is a lot to grow in that matter as well. And many of those sales and those operations end up boosting future construction projects. So, if this continues, growth for sure is going to have an impact on future cement sales.
Operator: We'll conclude our question-and-answer session. I would like to turn the conference back over to Diego Jalon for closing remarks.
Diego Jalón: Thank you, everyone, for joining us this morning. It was a pleasure for us to having this call. And we look forward to meeting you again in our next call. Thank you very much.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines, and have a pleasant day.